Operator: Good morning, ladies and gentlemen, and welcome to the AvalonBay Communities Second Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. Following remarks by the company, we will conduct a question-and-answer session. Your host for today's conference call is Mr. Jason Reilley, Vice President of Investors Relations. Mr. Reilley, please go ahead.
Jason Reilley - AvalonBay Communities, Inc.: Thank you, Travis, and welcome to AvalonBay Communities second quarter 2018 earnings conference call. Before we begin, please note that forward-looking statements may be made during this discussion. There are a variety of risks and uncertainties associated with forward-looking statements and actual results may differ materially. There is discussion of these risks and uncertainties in yesterday afternoon's press release as well as in the company's Form 10-K and Form 10-Q filed with the SEC. As usual, this press release does include an attachment with definitions and reconciliation of non-GAAP financial measure and other terms which may be used in today's discussion. The attachment is also available on our website at www.avalonbay.com/earnings and we encourage you to refer to this information during the review of our operating results and financial performance. And with that, I'll turn the call over to Tim Naughton, Chairman and CEO of AvalonBay Communities for his remarks. Tim?
Timothy J. Naughton - AvalonBay Communities, Inc.: Yeah. Thanks, Jason, and welcome to our Q2 call. With me today are Kevin O'Shea, Sean Breslin and Matt Birenbaum. Sean, Kevin, and I will provide a brief commentary on the slides that we posted last night and then all of us will be available for Q&A afterwards. Our comments will focus on providing first, an overview of results for the quarter. Secondly, an update to our outlook for the full year; and then, lastly, we want to touch on how we're managing risk at this point in the cycle. Starting on slide 4, highlights for the quarter include core FFO growth of 6.7% or $0.04 per share above the midpoint of our Q2 outlook. Same-store revenue growth came in at 2.5%, which was about 20 basis points higher than budget for the quarter and roughly 30 bps above budget year-to-date. We completed $140 million in new development at an average initial projected yield of 6.4% and so far this year completed $430 million at a projected yield of 6.5%. And then, lastly, we raised about $300 million of external capital through the sale four communities at an average cap rate of 4.7% as the transaction market continues to be very healthy. Turning now to slide 5 and touching on our outlook update for the full year, core FFO growth is now projected at 4.1% or 50 basis points above our original outlook. Same-store revenue and NOI growth are expected to come in at 2.4% and 2.3% respectively, both up by about 30 basis points from our original outlook. Expected NOI from development is unchanged at $52 million as deliveries, occupancies, and rates are all largely consistent with plan. Projected development starts for the year, still tracking our plan of roughly $900 million. And then, lastly, planned external funding for the year is now $950 million. We're about $300 million less than originally expected, mainly due to reduced development spend at some new developments that started or expected to start a little later in the year than we had originally planned. Turning now to slide 6. Slide 6 provides a breakdown of our revision to core FFO of $0.04 in the revised outlook. As you can see, higher than expected stabilized community NOI from same-store and redevelopment is driving the upward revision with virtually all of that coming from stronger-than-expected revenue growth. Minor revisions to our capital plan and updated overhead projections more or less offset one another for the balance of the revisions to our forecast. Turning now to slide 7. What's driving this upward revision? It's really coming from stronger-than-expected economic and job growth. And if you look at it nationally, job growth is expected to be about 400,000 jobs or about 20% higher than initial forecast that was embedded in our original outlook. And about 150,000 jobs or about 30% higher than originally anticipated in our markets, which are even stronger. On the supply side, if you look at projected deliveries in our markets, we now expect to be off by about 5% from what we had anticipated at the beginning of the year. And so that the operating performance is really being driven by stronger-than-expected fundamentals on both the demand and supply side. I'm now going to turn it over to Sean to provide a little bit more color on portfolio performance across our markets. Sean?
Sean J. Breslin - AvalonBay Communities, Inc.: Thanks, Tim. Turning to slide 8, as Tim mentioned earlier, we increased the midpoint of our same-store revenue growth outlook by 30 basis points to 2.4%. This outperformance is supported by our outlook for stronger growth in New England and Northern California which represents about 35% of our portfolio; and is being partially offset by weaker performance in Seattle, which only represents about 5% of assets. For New England, it's benefiting from better than expected performance in the Boston market, job growth which has been running at an annualized rate of 1.6% over the past six months. A reduced level of supply resulted in fairly positive momentum thus far this year. At the portfolio level, reduced turnover which is down more than 400 basis points in Q2 alone has allowed us to maintain roughly 96% occupancy as we push rental rates. We achieved 3.8% rent change from our primarily suburban portfolio during Q2 and are trending above 4% for July. In Northern California, better-than-expected job growth, strong wage growth and overall confidence in the tech sector has led to increased demand in both San Jose and San Francisco. Job growth has accelerated to an annualized pace of 2% in San Francisco and 3% in San Jose over the past six months. This healthy level of demand combined with moderating supply has resulted in better pricing power over the past quarter. Many of our year-over-year key performance metrics for San Jose and San Francisco improved materially during Q2. Turnover decreased more than 700 basis points in San Jose and 900 basis points in San Francisco. Occupancy increased 60 basis points in San Jose and 80 basis points in San Francisco. For the quarter, occupancy averaged roughly 97% in each market. The median household income of new residents was up 7.5% compared to Q2 last year. And rent change averaged 4.7% in San Jose and 4.6% in San Francisco, up 160 basis points and 350 basis points, respectively compared to Q2 last year. When you look at July, rent change is trending above 5% in both markets. Moving to the Pacific Northwest, performance is moderated as new supply, which has had a cyclical (07:58) of inventory comes online. Job growth remains strong, but is also slowed from the blistering pace of a couple years ago. Rent change in our portfolio averaged 3% in Q2, about 400 basis points below what we achieved in Q2 2017. In terms of portfolio revenue growth, year-to-date results have also been impacted by activity, including lease terminations associated with our retail portfolio in the region. On a year-to-date basis, our 3% same-store revenue growth rate represents 3.5% revenue growth from the residential portfolio and a roughly 15% reduction in the revenue generated from the retail portfolio. The performance in our New York, New Jersey, Mid-Atlantic, and Southern California regions is expected to be relatively consistent with our original outlook. Moving to slide 9. The healthy demand we've experienced over the past year, combined with the leveling-off of supply, has resulted in relatively stable rent change at the portfolio level. This slide depicts the trailing four-quarter average rent change to eliminate the effect of seasonal patterns in our business. We've averaged roughly 2% since Q2 last year, which has supported revenue growth in the low to mid-2% range the last four quarters. In terms of recent activity, blended rent change for July is currently 3.25%, about 50 basis points greater than what we achieved in July 2017. This is the first month the portfolio has produced a material year-over-year increase in rent change since October 2015. Renewal offers for August and September are running in the high 5% range, about 25 basis points greater than the offers made at the same time last year. Now, I'll turn it over to Kevin to talk about development in the balance sheet. Kevin?
Kevin P. O'Shea - AvalonBay Communities, Inc.: Thanks, Sean. Turning to slide 10. As the business cycle has matured, we have focused on reducing development risk while further enhancing our credit profile. As you can see on slide 10, we have reduced development starts for 2017 and 2018 to about $900 million per year. This is $500 million or 35% lower than the average start volume of $1.4 billion per year in the preceding four-year period. At this reduced level, new development starts can be funded on a roughly leverage neutral basis through a combination of internal free cash flow, leveraged EBITDA growth, and disposition activity. As shown on slide 11, we focused on increasing timing flexibility within our $3.5 billion development rights pipeline so that we have greater flexibility to adjust new development starts to real estate and capital market conditions. Specifically in the first two bars on the left, about 40% or $1.4 billion of the pipeline represents projects that are likely to start over the next two-and-a-half years. In the middle bar, about $400 million of potential development activity represents opportunities to densify existing apartment communities on the West Coast and an opportunity with flexible timing in the Mid-Atlantic. These opportunities can proceed as starts when entitlements are complete if they continue to make economic sense at that time or these can be held in inventory for the next cycle at little cost if necessary since there is no third-party land to be purchased. And about one-third or $1.2 billion represent projects that are likely to start at least a few years from now sometime in the next cycle. Much of this business is public-private partnerships with flexible timing and representing a different risk profile than our typical development right. It is also worth noting that we are controlling this $3.5 billion development pipeline with a total investment of only $170 million as of quarter-end. This amount consists of approximately $130 million of land held for development, of which we expect to put about $115 million into production by year-end, and $40 million in development pursuit costs. Altogether, this increased timing flexibility and modest financial exposure reflects the more defensive risk management posture that we adopted several years ago in anticipation of a more challenging development environment. Turning to slide 12, as we have throughout this cycle, we continue to remain focused on mitigating a key risk of development, which is lagged funding risk by continuing to substantially match-fund development underway with long-term capital. By doing so, we are able to lock in much of the development profit by substantially reducing the amount of remaining capital that is exposed to future changes in our cost of capital. At the end of the second quarter, we were approximately 85% match-funded against development underway, which is in excess of the high end of our target range of being roughly 70% to 80% match-funded against outstanding development commitments. On slide 13, we show how we have remained focused on enhancing our balance sheet strength and flexibility by highlighting two important credit metrics, namely overall leverage and refinancing risk. Specifically, at the end of the second quarter, net debt to core EBITDAre remained low at 5.0 times and at the low end of our target range of about 5 to 6 times. In addition, by issuing longer-dated debt in recent years, we have increased the weighted average years to maturity of our total debt outstanding from 8.3 years to 10.2 years, which is one of the highest in the REIT sector. In doing so, we not only reduced our near-term refinancing risk over the next few years, but also put the company on stronger footing for the long term. And, with that, I'll turn it back to Tim for concluding remarks.
Timothy J. Naughton - AvalonBay Communities, Inc.: Thanks, Kevin. Just finishing up on slide 14 and some of the key takeaways for the quarter. Healthy economic growth is supporting apartment markets with revenue growth now stabilizing in the 2% to 3% range. Our revised outlook is ahead of our original plan, driven by better-than-expected fundamentals. Development deliveries and NOI are in line with our original plan. As the cycle ages, as Kevin just mentioned, we are increasingly turning our attention to risk management, particularly how we are managing the development portfolio, the balance sheet. And then, lastly, we are currently on pace to deliver better than sector average core FFO growth for the eighth consecutive year. And, with that, we'd like to open up the call for questions, Travis.
Operator: Yes, sir. Our first question comes from Nick Joseph.
Nicholas Joseph - Citigroup Global Markets, Inc.: Thanks. Tim, you mentioned risk management, and there have been media reports Avalon exploring a larger New York disposition transaction. What's your appetite for selling or JVing a portfolio of assets?
Timothy J. Naughton - AvalonBay Communities, Inc.: Nick, Tim. We are aware of some media reports out there. As it relates to the Manhattan portfolio of assets, I mean, we can't really comment on it. I guess, what I'd say is we often do explore either opportunistically or strategically disposition or portfolio-type agreements, either outright sales or JVs, and they are often subject to confidentiality. And as it relates to that specific deal, we'll – when it makes sense to comment on anything, we will. But as I mentioned in my earlier remarks, the disposition market is – the transaction market is very healthy. We sold $300 million this quarter at sub-5% cap rate. Those aren't necessarily the lowest cap rate assets in the portfolio. So, I think, it is – as you look across kind of our opportunity set for capital, asset sales and debt are easily sort of screen the most attractive to us. So, it's just a matter of what form and we're trying to marry that against – just against our capital allocation objectives. As you know, we entered Denver and Southeast Florida recently, and are looking, to some extent, to reallocate some capital from the Northeast to those markets, and we've done a fair bit of sales in the suburban New York area as of late and we're looking at other opportunities as well, so.
Nicholas Joseph - Citigroup Global Markets, Inc.: Thanks. And then, you've resized or reduced the development pipeline and leverage is at the low end of the targeted range. Should we expect similar levels for the remainder of this cycle or is there anything you're monitoring that make you more aggressive or conservative from here?
Timothy J. Naughton - AvalonBay Communities, Inc.: Yeah, Nick. Tim, again. Yeah. Great question. As we mentioned, we have – as Kevin mentioned, we have brought it down a bit from an average of $1.4 billion in the year and starts about $900 million in the last two years. As many of you know, if you just look at kind of what's happening on the construction side, construction costs have been running in the mid-single digit or probably in the high – mid- to high-single digit escalation today, whereas rents are more in the 2% to 3% range. And if you just play that out over a couple of years, that could erode yields by, call it, 20 basis points a year. So as a result, I mean, a lot of this is bottom-up at some level. There's fewer deals that are going to make sense and therefore, we're likely to see some – that volume come down assuming we see the same kind of trends we have been seeing, which are construction costs outpacing rent growth, land markets have not yet adjusted yet. Something else we didn't mention, but we really haven't added the development right so far this year other than the Doral deal that we started in Southeast Florida. So, as you look at our bucket, it's one of the reasons why we want to have flexibility and optionality with our development right portfolio. If you look at that, that group of opportunities, there's probably one bucket that sort of clear the bar easily that we'll continue forward with and start. There's probably another bucket that maybe is just, it is barely clear in the bar or the hurdle and the third bucket where it's more of a stretch. Where it's more of a stretch, we'll probably hold off or renegotiate or potentially abandon. Where it's clearing the bar – just clearing the bar, it's probably could be a little bit more of a game time decision. So, I know it's a long-winded way of saying it kind of depends. There's not a simple answer but I would guess we see the same kind of trends in construction cost. You'll continue to see the total level of development volume sort of continue to drift down from this point forward.
Nicholas Joseph - Citigroup Global Markets, Inc.: Thanks. Appreciate the color.
Operator: Our next question comes from Rich Hightower.
Rich Allen Hightower - Evercore ISI: I just want to pick up quickly on – next question on the Manhattan JV transaction – potential transaction there. So, maybe you've already answered this question, but as we think about the motivations for doing something like that, is it sort of equal weighted between source of funds for additional development? Is it to reduce your New York City exposure? Is it a mark-to-market on those assets that you think the public markets don't appreciate? Just help us understand some of the thinking behind that from a strategic perspective.
Timothy J. Naughton - AvalonBay Communities, Inc.: Rich, again, can't comment on anything specifically, but any time we're looking at doing something opportunistically, it's going to be a function of is it a good source of capital first, which disposition generally is an attractive source of capital, certainly more attractive than equity today. It's going to be a function of kind of where we want to allocate capital across our market footprint. And thirdly, based upon how we think about valuation in a particular market versus maybe some other opportunities that we may have to reallocate the capital. So, those are the kind of things that we're using as a screen to look for opportunities, particularly ones that are maybe a little bit more opportunistic in nature.
Rich Allen Hightower - Evercore ISI: Okay. That's fine. Thanks, Tim. And then my second question here, so I think reducing turnover has been a – it's been sort of a theme the past couple quarters not just from Avalon, but also from your public competitors. Is there anything structural going on there? Is it asset specific, portfolio specific, market specific? And then if you think about what a normalized turnover rate might be, I mean, how much of that has impacted OpEx year-to-date, and what do you think sort of a normalized OpEx run rate is given a normalized turnover rate if you can help us think through that?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah, Rich. This is Sean. In terms of the first part of your question, I mean, turnover is down pretty broadly. I mean, if you look at our footprint on a quarterly basis year-over-year, as well the year-to-date numbers, turnover is down pretty material across all the markets with the exception of the Greater New York/New Jersey region, which is pretty flat. And the reductions are relatively meaningful, let's say greater than 300 basis points across all those markets that are down. And when you look at sort of the reasons for turnover, it doesn't really change a lot. I mean, relocation is up a little bit. Rent increase is down a little bit. So, just the overall volume of churn is down. And I think it's probably a function of a number of different factors including certainly what's happening in the single family business in terms of home sales and production and things like that being relatively constrained in part due to the availability of labor, cost of materials and things like that, in terms of actually producing new products as well as just inventory being down in terms of home sales. So, there's probably a number of different factors in there as it relates to turnover. But if you look at the cost side of it, redec is down which shows up in the maintenance category. But in terms of moving the needle, it's not moving the needle in a material way, I would say. So if you looked at overall OpEx growth, you may be talking about 10 basis points, 15 basis points that might relate to what's happening on turnover and redec and things of that sort. Probably the more important factor is we're thinking about it more on the occupancy side in terms of, reduced turnover, you don't have the vacant days associated with turning those homes that tends to support a higher occupancy, which is certainly what we experienced in the first half of the year where our outperformance in revenue was to a significant degree due to greater occupancy. So, I'm probably focused more on that side of the P&L as opposed to the OpEx side in terms of a material benefit.
Rich Allen Hightower - Evercore ISI: All right. That's perfect. Thanks, Sean.
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah.
Operator: Our next question comes from Drew Babin.
Drew T. Babin - Robert W. Baird & Co., Inc.: Hey. Good morning. There's a good deal of information in the presentation about employment growth and, obviously, you'd exceeded your expectations so far this year. I was hoping you could talk about whether the improved employment growth outlook is kind of a pass-through of what happened in the first half of the year or better expectations for the second half of the year. And I guess kind of bolting onto that, how has wage growth trended year-to-date relative to your expectations kind of outside of the Bay Area where it's obviously very strong?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. I'm happy to talk about that, Drew. This is Sean. In terms of job growth, what I'd say is, across the footprint, the majority of the markets are producing jobs at a greater rate than what we expected. The exceptions are sort of in the Greater New England area. But it's a pretty modest number in terms of softness there in job growth and a little bit in Southern California. But our performance in New York, the Mid-Atlantic, Pacific Northwest, Northern California in terms of jobs has been healthy. And, certainly, we would expect that to bleed through into the second half of the year. As I mentioned on as it relates to the last question, the first half of the year, we benefited from greater occupancy that has allowed us to push rates a little bit harder, and we expect to benefit from that in the second half and let it bleed through across the footprint. So, if you're looking for the impact, we certainly realize it in terms of occupancy. We're realizing it in terms of rate growth. You'll see more probably on the rate growth side than occupancy in the second half of the year. As it relates to wage growth across the various markets, we have seen pretty healthy wage growth. I mentioned what's happening in Northern California, but we're seeing across some of the major markets north of 5% wage growth – not wage growth, but household, median household income of new residents – relative to new residents that moved in the same period last year. So, if you think about it from that perspective, I think we're somewhat of a proxy for our market and the profile of the customers within our buildings. So, it's been pretty healthy wage growth and has actually driven rent income ratios down close to 20%, whereas they peaked this cycle closer to 22% or so. So, wage growth has been healthy across the portfolio, probably most pronounced in the tech markets, but healthy just about everywhere.
Drew T. Babin - Robert W. Baird & Co., Inc.: Okay. And I guess if you could help kind of marry the comments about economic prosperity in the near term and kind of using the term late cycle and saying that, things have obviously decelerated from where they were a few years ago, but there's pick up in employment. Is that sort of saying that, yes, things are a little better than expectations, but employment growth is likely to kind of return more to trend levels over time? Wage growth is likely to return to trend over time. I guess how do you kind of marry the short term versus the long term in the way you've phrased it?
Timothy J. Naughton - AvalonBay Communities, Inc.: Well, I mean if you just listen to economists, I think the general consensus is that the combination of stimulus and the rollback of regulatory requirements is creating a bit of a stimulus effect here that may not be long-lasting. We think it's probably going to last for 2018 and maybe 2019. But in some sense, you may be pulling some demand forward, so I'm not sure that either the economists community or we believe at this point that it's just structural nature that's going to, sort of put us on meaningfully different trajectory sort of longer term, if you will. But certainly, kind of what's going on in the – and corporations are just starting to get the benefit of the tax cuts, right? And they're just – most companies, they're just starting to enter their planning and capital cycles right now. And so, you would expect to see some of that, some of the impact carry forward to 2019 based upon that alone.
Drew T. Babin - Robert W. Baird & Co., Inc.: Okay. That's all from me. Thank you.
Operator: Our next question comes from Juan Sanabria.
Juan C. Sanabria - Bank of America Merrill Lynch: Hi. Just hoping you could comment a little bit on supply. You talked about some slippage in delivery, seeing 5% less deliveries than you expected for 2018 to start the year. But if you could just help us frame your views as you see 2019 now, which markets are up and which are down and how you're thinking about the relative growth in the portfolio as a result of that.
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. Juan, this is Sean. Happy to take that, and then others can chime in as needed. Yes, as we – Tim mentioned in his prepared remarks, supply, consistent with the last several years, is beginning to slip a little bit from one year to the next. So, it's in the kind of 5% to 6% range in terms of the deliveries that we anticipated for 2018 that are probably going to be pushed into 2019. And, it's spread across a variety of markets. It's probably most concentrated in Southern California, I'd say, where, based on what we see, upwards of 20%, 25% of the deliveries that were expected this year could be pushed into 2019. But there's some in Northern California, the Mid-Atlantic, et cetera, so it's sort of everywhere. And I expect that based on what we're seeing in terms of trends in the construction market, that as we get towards year-end, we'll see additional slippage in terms of deliveries. So, I think that sort of the macro way to think about this is last year deliveries were about 2.2% of inventory. Based on what we know today, for 2018, it's going to be about 2.3%. 2019 is forecast at 2.1%, but I'd say 2018 and 2019 are probably going to be pretty similar in terms of the volume of deliveries and you really have to double click through at the market or the regional level to find where the variations are. And so, as you look at 2019 relative to 2018, in terms of any meaningful changes, yeah, there's three markets where we're likely to see an increase in deliveries and that's in D.C. proper or the District itself, the East Bay and San Jose, all in the order of magnitude of 2,000 to 2,200 units – additional units in 2019 relative to 2018. And then the markets with a more meaningful reduction in deliveries currently are expected to be New York City which is pretty meaningful, it's a reduction of about 6,000 units as compared to deliveries that are somewhere in the 12,000 unit range this year. Northern New Jersey, couple thousand units. Baltimore about 2,500 units, which we expect to benefit from given some stuff we have under construction up there. We think that'll be good timing for us. And then in Orange County and San Diego, down about 3,000 units Orange County, about 2,500 units in San Diego. Orange County performance has been a little bit soft this year, so they should benefit that market next year. So, I mean those are the markets that given the current level of job creation and assume that that bleeds through into 2019, tagging along with some of the things that Tim talked about from a macroeconomic perspective, these markets with changes in supply, you'd expect to see either an uplift or potentially a modest softening all else being equal. So, that's probably how I'd describe that in terms of next year.
Juan C. Sanabria - Bank of America Merrill Lynch: Great. And then just with regards to your developments, you brought down your uses, you talked about some delays or starts maybe a little bit later than you'd anticipated. It didn't look like any of your completions moved other than maybe Public Market in California. But do you see any risk from your development perspective on delivery delays or slippage given what we've just discussed?
Timothy J. Naughton - AvalonBay Communities, Inc.: Tim here. No, in fact, our updated outlook basically is aligned with our original budget. So we're basically tracking plan at this point with respect to deliveries, occupancies and rate as it relates to the development portfolio.
Juan C. Sanabria - Bank of America Merrill Lynch: Thank you.
Operator: Our next question comes from Austin Wurschmidt.
Austin Wurschmidt - KeyBanc Capital Markets, Inc.: Hi. Good morning. Just have a question around the guidance. So, you've beaten the second quarter by $0.04 which was attributed to better par
Kevin P. O'Shea - AvalonBay Communities, Inc.: Sure. So, Austin, in terms of identified in terms of our outlook, we're expecting from a core FFO point of view a $0.04 increase in 2018 versus our initial outlook to $8.97 versus $8.93. And as we have in the table in the earnings release, as you double click through that, essentially on a net basis, $0.04 is really coming through the same-store and redevelopment portfolios with essentially of that $0.04 really kind of on a net basis $0.03 coming through from same-store revenue, if you will. And then, the other $0.01 coming through essentially accelerated occupancies in the redevelopment portfolio. And then, sort of as Tim pointed out at the opening that the adjustments in the capital markets and expectations in the overhead line item is kind of being awash. In terms of kind of the cadence of that, if you look at the balance of the year, in our implied guidance for core FFO in 3Q and what you might sort of back into for the fourth quarter, much of the sequential uplift in core FFO as you pace through the balance of the year is really going to be driven primarily from same-store NOI, if you will and, to a lesser degree, but still to a positive degree from the lease-up activity and development portfolio.
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. And, Austin, as it relates to thinking about how revenue growth bleeds through, as I indicated in the first half of the year, we outperformed our expectations overall in the neighborhood of 25 basis points or so. The majority of that was on the occupancy side, around 20 basis points; the other handful of basis points through rate and other rental revenue. As we moved through the second half of the year, as I mentioned earlier, we expect more of that performance to come through on the rate side than the occupancy side. We had budgeted to be at a higher level of occupancy in the second half versus the first half. So, that's how we think about seeing the components of performance shift in the same-store basket as we move through the balance of the year.
Austin Wurschmidt - KeyBanc Capital Markets, Inc.: So, does the revised guidance in the back half of the year assume the inflection that you talked about in July and then also for August and September renewals?
Sean J. Breslin - AvalonBay Communities, Inc.: Yes.
Austin Wurschmidt - KeyBanc Capital Markets, Inc.: Okay. Appreciate that. And then, previously, in the Mid-Atlantic, you talked about that market was tracking a little bit softer early in the year. We saw an acceleration here. What do you attribute that acceleration to? Is it benefited from better demand or did you see supply get pushed out a bit in that market specifically?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. Austin, it's Sean. It is on the demand side, job growth outlook for 2018 based on what we produced in the first half and sort of the expected pace in the second half given some of the macroeconomic things that Tim talked about. We're talking about – at the beginning of the year, we expect the job growth to be closer to 1.1% – roughly 1%. Right now, it's tracking at pace. It's probably closer to 1.6%. So, that's pretty meaningful increase. Supply has not changed materially, I would say, at this point. When you look at the delays in that market, we're talking insignificant number of units. It's like 800 units or so in D.C. that's been pushed out, really nothing in suburban Maryland and Virginia. There's a little bit in Baltimore, but we don't have a big same-store basket there. So, it's primarily on the demand side when you look at the Mid-Atlantic. And I'd say in terms of where we're seeing the best performance right now, is in the Northern Virginia submarket of the three major components of the metro area, so.
Austin Wurschmidt - KeyBanc Capital Markets, Inc.: Great. Thanks for the time.
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah.
Operator: Our next question comes from John Pawlowski.
John Richard Pawlowski - Green Street Advisors LLC: Thanks. Tim, regarding dispositions and doing something more opportunistic, am I interpreting your comments right that if you did do something opportunistic that proceeds will be funneled towards development and acquisitions?
Timothy J. Naughton - AvalonBay Communities, Inc.: Perhaps. Perhaps. I mean, obviously, it's part of the whole capital allocation process but, it's – I mean, largely the fund. We don't really have any debt to retire. I could do it. I mean, debt rolling, but it's largely fund development and perhaps, to some extent, redeploy into potentially the – particularly the expansion markets of Southeast Florida and Denver. Some of that may be in development, by the way, as well as acquisitions.
John Richard Pawlowski - Green Street Advisors LLC: Okay. Curious, the thought process just in terms of deploying capital in a very, very competitive private market. If construction cost keep outpacing rent growth by a wide margin, your cost of equity remains impaired and the private vehicles keep raising more money than God, I mean people are going in Denver and South Florida. My question is, do the odds of you guys doing a special dividend or share repurchases increase in 2019 and 2020, if you're having trouble deploying capital?
Kevin P. O'Shea - AvalonBay Communities, Inc.: Yeah, John. It's Kevin. I mean we understand kind of where you're getting at sort of a hypothetical in the first instance about whether we transact opportunistically. And then another hypothetical in terms of what do we decide at that point in time based on future capital market and real estate conditions about the second choice and how to deploy that capital. That's a lot of speculation for something that hasn't yet happened. I guess to try to be responsive, we do think about all those questions. So, if cash shows up in hand and there's not an immediate compelling use, then certainly, issues such as a special dividend, buyback all get part of the management discussion. But as we talked about before, there are a number of different hurdles and complicating factors that relate to each of those things particularly as a tax-paying entity with obligations to make a dividend over time. So it's premature for us to try to answer that question in a concrete way or to kind of lay out the specificity what the framework would be, but we certainly look at all those things under the circumstances should they arise.
John Richard Pawlowski - Green Street Advisors LLC: Okay. Thank you.
Operator: Our next question comes from John Kim.
John Piljung Kim - BMO Capital Markets (United States): Good morning. On your development rights, slide 11 of your presentation, you have a bar of $400 million, which includes asset densification in the West Coast. I'm assuming that includes your joint venture with GGP in Seattle, but I was wondering if there were any other retail developments as part of this figure, and how many joint ventures you may have on densification effort?
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Yeah. Hi, John. It's Matt. I can speak to that one. Actually, no, the potential joint venture with GGP in Seattle is not currently in our development rights pipeline. We don't technically recognize a development right until it's cleared due diligence and cleared our investment community for kind of the initial screening. So, we've been working on that for a long time, and it is what I'd call a likely future development right, but that's not in there. So, in terms of how much of the current development rights pipeline is retail joint ventures, none of it. Again, we are talking to various folks. We do have a number of development rights which are partnerships with retail owners where ultimately we will own the residential and they will own the retail. We have a site in Woburn, Mass. It's in the development rights pipeline. It fits that description which is a partnership with EDENS. We have a number of development communities currently underway like our deal in Towson with RPAI. That would fit that description or the Emeryville Public Market site. But the only development joint venture – two joint ventures we have right now is one that's wrapping up, which is North Point in Cambridge.
John Piljung Kim - BMO Capital Markets (United States): So, in this figure of asset densification, those are densification of efforts on your asset?
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Yes. There's a couple of assets that we own, that we've bought through Archstone, one of which is in Mountain View, which we've talked about a little bit in the past; one of which is in San Jose; and there's actually a third one in Redmond, which is not on the list yet, but which will join the development rights pipeline in the third quarter. These are older garden communities where – with surface parking where the jurisdictions recognize there's a need for more housing as part of just an overall housing shortage in those markets and are willing to work with us to try and modify the entitlements to add density usually through replacing parking or replacing surface parking with parking deck, in some cases, just reducing the parking ratio because times have changed and there's not quite as much demand for parking.
John Piljung Kim - BMO Capital Markets (United States): Got it, Okay. And then, a second question on development returns. This quarter, you had 170 basis point spread in devolvement yield between high-rise and garden developments. But I was wondering if you had seen a noticeable difference among development unlevered IRRs between high-rise, mid-rise, and garden projects based on your history of developing and recycling assets.
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Yeah. It's an interesting question. Generally, I think we did – the last time we looked at that by product type, I think it was pretty consistent across the three baskets. High-rises will generally tend to trade at a lower cap rate and, in some cases, we developed high-rises in urban submarkets that were transitioning where we got in early like you think about Christie Place. We were very early there in the Bowery or our Riverview assets in Long Island City. So, sometimes that plays a part in it as well. I would say probably in terms of risk-adjusted returns, high-rises are riskier in our experience both on the cost side and just the timing. It takes a long time to put the asset into production. So, you might argue that if gardens are getting same IRRs on a risk-adjusted basis, it's probably even a little better but – and that's probably over the last 10 or 15 years. I don't know. I'm guessing. Maybe a third of our development in terms of capital has been high-rise, probably two-thirds has been wood frame.
John Piljung Kim - BMO Capital Markets (United States): Okay. Great. Thank you.
Operator: Our next question comes from John Guinee.
Timothy J. Naughton - AvalonBay Communities, Inc.: Hello?
John William Guinee - Stifel, Nicolaus & Co., Inc.: Yes.
Timothy J. Naughton - AvalonBay Communities, Inc.: Hello.
John William Guinee - Stifel, Nicolaus & Co., Inc.: Yes. If I'm looking at page 17, your development rights, are you at liberty to talk about where the numbers make sense? I'm assuming you've got some low basis in some of your land positions or your development rights which helped the yield on cost, but where did the numbers pencil out and where don't they in this day and age?
Timothy J. Naughton - AvalonBay Communities, Inc.: Do you mean kind of geographically or by...
John William Guinee - Stifel, Nicolaus & Co., Inc.: Yeah, geographically. You're talking about putting a lot of this into play I think.
Timothy J. Naughton - AvalonBay Communities, Inc.: Well, it's kind of – Kevin went over on the slide. Some of these are going to take quite a while to play out and others would be ready in the next year or two. The ones where the economics are holding better are – tend to be the more suburban deals where the entitlement process takes longer. And as you point out in some of those cases those are land deals that are four or five years old and maybe there's been a little bit less cost inflation pressure. So you know some of the deals we have in suburban Boston or suburban New Jersey, those are deals that are less sensitive to changes in the cycle. And that's where you see frankly when you look at our development rights pipeline, it is a little overweight in the Northeast partially because of that. But in terms of the $3.5 billion that's there, it's – the allocation of what makes economic sense is probably consistent with just the total allocation that you see on that chart.
John William Guinee - Stifel, Nicolaus & Co., Inc.: Great. And then second question, have you seen any signs that the merchant builders are perhaps laying off people or slowing down? Are they still locked and loaded and aggressively trying to build new product?
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Yeah. We haven't seen – this is Matt again. We have not seen many signs of them slowing down yet. I would say I don't know if they're increasing capacity, but I would say they're still pretty full up. They still have pretty deep pipelines. And in fact, one of the ways we've tried to play that a little bit, as Tim mentioned, we are particularly in the expansion market working to – in addition to doing our own ground-up development, partnering with some folks that might have sites ready to go. And the Doral asset we started this past quarter is a good example of that where that's a deal that TCR – the local TCR office is the development sponsor. We're providing the capital. And then at the end of the day, we will buy out their position and wind up as a wholly-owned asset. But their take – they took the entitlement risk. They're taking the construction risk. We're taking the lease-up risk. And we like that kind of business. We haven't done a lot of them in the past, but particularly in these expansion markets where there are some deals ready to go, where the economics still do look good, that's a good way to get some volume there.
John William Guinee - Stifel, Nicolaus & Co., Inc.: Okay. Thanks.
Timothy J. Naughton - AvalonBay Communities, Inc.: Yeah. John, maybe just to add to that quickly, as the publics are pulled back, which is interesting – and I agree with Matt. My sense is the merchant guys haven't necessarily increased, but not evidentially pulled back at all, but then – I think the other trend you're seeing, you just had some new entrants that probably made up or offset something with the amount the publics have pulled back. So overall, we're seeing pretty level volume and supply. And that's kind of what's in our projections kind of over the next couple of years.
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Great. Yeah. I think I'd probably add to that is the multifamily focused public guys have pulled back, but the multiple product type REITs...
Timothy J. Naughton - AvalonBay Communities, Inc.: Yeah.
Matthew H. Birenbaum - AvalonBay Communities, Inc.: ...maybe haven't.
Timothy J. Naughton - AvalonBay Communities, Inc.: Yeah. Good point.
John William Guinee - Stifel, Nicolaus & Co., Inc.: Thanks.
Operator: Our next question comes from Dennis McGill.
Dennis Patrick McGill - Zelman Partners LLC: ...taking my question, guys. Just want to tie together a couple things you noted with on the turnover side, turnover being down substantially and you mentioned that being really across the portfolio and then wage growth similarly accelerating across the portfolio. Both would be pretty notable tailwinds to the rent growth side and it's been fairly stable over the last year or so. When you guys look at that, is that simply just supply overwhelming both of those factors or have you just been more cautious on the renewals for more defensive purposes?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. Dennis, it's Sean. Good point on the tailwind factors and all else being equal would result in better performance. And I think that's what's reflected in the revised outlook is we are seeing better performance in the first half, really driven by occupancy, a little bit of rate – and in the second half a little more on the rate side. So, it is leading through in terms of better performance. And so, really, you've got better job growth, reduced turnover, good wage growth, all those are positive benefits. Still meaningful amount of supply, but the supply was known. So, it is leading through for us in terms of better performance in the first half and what we're expecting in the second half, and that led to the revised outlook. So, if that's the heart of your question?
Dennis Patrick McGill - Zelman Partners LLC: Yeah. I think that makes sense. Essentially, there's a lag effect that you're seeing through the business. If we look at the blended rent growth in the second quarter, I think it was equal to or lower than a year ago in all the regions except for Northern California, but you've noted that flipped positively for the overall portfolio. Can you give us some color at the regional level as well as to how broad based that is as far as the reversals being positive year-over-year?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. Sure. I'm happy to do a little bit of that. As I mentioned, I mean if you look at Q2 2018, it's 2.8%. Q2 of 2017 was 2.9% so kind of rounding here and there. It's pretty much similar. In my comments, I mention that July is running 3.25% which is about 50 bps greater than what we had expected and a meaningful portion I mentioned is Northern California. The rest of the markets when you look through it in terms of July, what we're experiencing is a modest lift in certain markets like the Mid-Atlantic, modest lift in Boston, Southern California is at par. New York is a little bit weaker. I don't have that number right off the top of my head. So, what I'd say is it's relatively broad based with the exception of a couple of regions but the order of magnitudes are different. The order of magnitude is more significant in Northern California and Boston as compared to the other markets. That describes it more generally. If you want specific data points so like going through all the markets, we can try to talk to you offline.
Dennis Patrick McGill - Zelman Partners LLC: Okay, perfect. That's helpful for now, and then just one final one on the dispositions in the quarter and anything you might be marketing, can you just talk a little bit about the types of bidders that you're seeing and how those assets priced relative to your initial expectations?
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Sure, Dennis. This is Matt. It has been a pretty deep field I would have to say, pretty robust. Pricing has exceeded our initial expectations probably by maybe 10 basis points on the cap rate from where we expected it to be, maybe a little more. We are marketing a couple of West Coast assets now, one of which was out of one of our fund vehicles where it exceeded by more than that. But it's been – we sold an asset to Blackstone's multifamily private REIT. We've sold to some private buyers that we've dealt with in the past. There have been some foreign capital buyers pursuing some of these assets that we haven't seen before necessarily on some of the larger assets that are in the mix. So, I'd say the field, if anything, is probably a little deeper than it was maybe a year or two ago.
Dennis Patrick McGill - Zelman Partners LLC: Perfect. That's helpful. Thanks, Matt. Thank you, guys.
Operator: Your next question comes from Wes Golladay.
Wes Golladay - RBC Capital Markets LLC: Hi, guys. I just want to go back to that comment about the accelerated rent growth. I just want to get your opinion on what is potential drivers of that? You talked about the improving demand, but I was also wondering about the impact of having less concessions in the market, is that a big factor at all?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah, Wes. This is Sean. I mean for the most part across our markets, for most of the major public REITs and major private players, concessions aren't used a lot on existing assets. They're more used in lease-up communities. And for the most part, that's really concentrated in New York, given some of the rent regulations there where lease-ups could offer anywhere from one to three months of concessions depending on the lease term to establish a relatively high legal rent, and then they build their rent increases off of that. But in terms of concessions, they're pretty de minimis overall, and the concessions are certainly down for us, and I suspect many others, which is helpful as it relates to revenue growth, but it's not a meaningful number relative to occupancy gains or rate gains overall. So, I wouldn't attribute it to that in a meaningful way except for maybe what you would be looking for in terms of performance in New York City specifically.
Wes Golladay - RBC Capital Markets LLC: Yeah. Okay. I was looking at more so like maybe having some private developers being maybe more rational this year, not pressuring the public REITs on new and renewal leasing. And then maybe if I could parley that to another question, I guess, with supply moving out of peak leasing season, some of us moving to 2019, but do you see any markets where there would be heavy supply in the second half of the year, maybe in the lower demand season?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. I mean the numbers don't move around a lot from quarter-to-quarter. When you look at it, it's a little bit heavier in Q3 as compared to Q2 across our footprint for 2018. Q4 is up a little bit from Q3, but for us, the one with lease expirations during those periods particularly in Q4 is down quite a bit. So, it doesn't have much of an impact on the rent roll and the revenue stream given it's 20% of lease expirations. What you've been through for the first three quarters kind of base 80% of the year. So, even if there's some additional softness in certain pockets, where there's heavier supply markets like the District (54:16) is an example or maybe parts of Downtown Brooklyn. It shouldn't have a meaningful impact on us in that period.
Wes Golladay - RBC Capital Markets LLC: Okay. Thanks a lot.
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah.
Operator: Our next question comes from Richard Hill.
Ronald Kamdem - Morgan Stanley & Co. LLC: Hey. You got Ron Kamdem on the line for Richard. Just going back to the expansion markets, could you just – how should we think about when you're looking at the deals that whether at Denver or Southern Florida, can you just provide some color of some of the deals you may be looking at? What are the cap rates? Is it more deals than you thought, less deals than you thought, so on and so forth?
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Sure, Ron. This is Matt. We are certainly looking at both acquisitions in the expansion markets, future development and then as I mentioned also in some cases looking at development that others might have ready to go where we could capitalize it. It's been very active, and if anything, I would say cap rates are probably down a little bit in both of those markets. What we're finding in Denver, we're probably more interested right now in some of the assets that are a little bit more suburban where kind of like in our portfolio in our other markets, there's a little bit less supply and the kind of the risk adjusted return at this particular moment looks more attractive. In the long run, we'll look to have a diversified portfolio in both of those markets. But right now, stuff that is kind of high profile, sexy, downtown or in a walkable type Denver location is probably 4.25% to maybe a 4.50% cap. But in any cases, the assets coming out of lease-up are not really stabilized yet or it may be hard to tell because the lease-up pace may not be what really would sustain the rents that they're getting. So, our view on what that cap rate truly is might be a little lower than some other market participants. In the more suburban locations in Denver, it's probably more or like high 4s cap rates, and in Southeast Florida probably similar. A little bit less in the market, not as much trades in Southeast Florida as in Denver but still an active market and kind of similarly there, we're being somewhat focused in terms of select submarkets those that are less exposed to supply right now. On the development side, we think the yields there are probably comparable to in our markets. And if we do a deal like this deal we're doing in Doral, where we're partnering with a local developer, they're taking the construction risk. For us we're solving for yield there that's kind of halfway between development and acquisition yield because from a risk point of view, that's kind of an appropriate allocation of the risk.
Ronald Kamdem - Morgan Stanley & Co. LLC: Got it. That's helpful. And if I could just go back to the Mid-Atlantic region, first, you talked about a little bit on the supply side, but maybe if you can touch on just the jobs outlook, not just this year, but into 2019 and 2020, that would be great?
Sean J. Breslin - AvalonBay Communities, Inc.: Hi, Ron. It's Sean. I mean, the data we have best available right now really reflects what's happened in the first half and projected for the second half, given the effect of stimulus and things like that that Tim addressed earlier, which is job growth being sort of in the 1.6% range for the full-year 2018. That's compared to the beginning of the year which was 1.1%. How long that plays out in terms of stimulus through tax cuts, regulatory reform, blah, blah, blah, all the various factors out there, it's hard to play out. There's certainly a lag effect but it spills over into 2019, but a bit too premature to speculate on what specific job growth would be in either 2019 or 2020 at this point.
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Hey. This is Matt. I guess the one thing I would add to that is, as it relates to the D.C. Metro specifically, certainly, the recent budget deal should lead to an increase in both procurement which is generally a pretty big driver of the D.C. Metro economy, I'm not sure we've seen that impact yet, but there's certainly a lot of talk now. There could be another government shutdown; that could change. But on the current phase we are at, there does appear to be from what we've read kind of a backlog of spending in contracts to be let that could provide a little juice for Northern Virginia and D.C., although obviously the devil's in the details.
Ronald Kamdem - Morgan Stanley & Co. LLC: Got it. Helpful. Thank you so much.
Operator: Our next question comes from Daniel Santos (58:58)
Unknown Speaker: Good morning. Thanks for taking my question. Just two quick ones from me. I was wondering – I'm sorry if you've answered this question already. If you could give us some background on the Miami development, how you chose the site and the partner? And then I was wondering if you could give us an update specifically on Boston supply?
Matthew H. Birenbaum - AvalonBay Communities, Inc.: Sure. I can speak about the Doral deal and then, I don't know, Sean, you may want to talk about Boston supply a little bit. Again, as I mentioned, we've been looking at sites that are ready to go, where somebody else – a local developer really starts with a sponsor, the quality of the sponsor, and we've known the folks at TCR for many years and obviously share a common heritage if you go back a long, long time. So, have a lot of respect for what they do. This is a site that's in Doral, which is one of the fastest-growing submarkets of suburban Miami. There is a grocery-anchored shopping center, which is part of the project, which is developed by another developer, which will be right at the front door. So, it's got some walkability. It's a seven-story, eight-story mid-rise, wrap product with structured parking. And it's a submarket that we like long term, and a sponsor that we think highly of, and that is, again, we'll be looking to do more of that kind of business. And it's different than what we've done in the past, and it's different also in the sense that it doesn't really show up in our pipeline until the deal is ready to go because we're not funding those pursuit costs early. We're not taking that risk. So, we've been working on it for probably six months, but we didn't commit to in close until it was all ready to go. There's a third-party general contractor, but again the local developer is providing the completion guarantees to us.
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. As it relates to supply, Daniel, I'm happy to take that as it relates to Boston. So, for 2018, supply currently is expected to be about where we thought it would be when we started the year, which is around 6,200, 6,300 units, something like that. It's down about 20% from what was delivered last year. A good percentage of that reduction and deliveries is in sort of the urban markets of Boston, a little bit in the suburbs. As it relates to the outlook for 2019, supply should be running based from what we see today at a pretty similar level to 2018 again around 6,200, 6,300 units. So relatively stable supply outlook in Boston kind of moving from submarket to submarket, but in terms of total deliveries down in 2018 relative to last year, it looks pretty steady for the next 12 to 18 months in terms of the pace of deliveries.
Unknown Speaker: Got it. That's helpful.
Operator: Our next question comes from Rich Anderson.
Richard Anderson - Mizuho Securities USA LLC: Hey. Good afternoon, now. Tim, early on in the call, you talked a little bit about what might be a short-term economic stimulus from all the things that have gone on maybe perhaps into 2019 or through 2019. With that in mind, do you feel – if this is an inflection point in terms of fundamentals for your business, do you feel a little bit less sort of sanguine towards it because of that short-term perspective you have? And maybe it's prompting you guys to do things before the music stops, or are you equally as optimistic about things relative to past cycles that you've seen as a manager of this company?
Timothy J. Naughton - AvalonBay Communities, Inc.: Yeah, Rich. I think that's a good question. I think you captured it, I think you captured it well. I guess, we'd say we're less sanguine at this point sort of as late in the cycle as we think we are. I mean you're starting to see areas in the country where there isn't much slack. If you look at the labor markets, it can be contingent upon labor force participation as when you're seeing unemployment at 4% and then for college grads, it's almost 0%, I mean, it's literally in the low 2s. So, there's not much slack and the labor markets continue to sort of drive household formation. I think there is some opportunity still as it relates to household formation as the Millennials age. The most recent print on household formation was as strong as we've seen in a while. I think it's – you got to take that with a grain of salt that kind of moves all around, but I think it came in at 1.7% on a year-on-year basis, as strong as we've seen. I think that is a bit of – the number of young adults that are living at home as you would expect to go down as the leading edge of that age cohort starts to migrate towards their mid-30s and late-30s. So, when you think about some of the inflationary pressures, you look at our business, the construction cost pressures are pretty acute. I don't see them necessarily abating because you've got – I mean, both the labor side and the material side, they're both not being helped by policy right now as it relates to tariffs and potentially immigration and the impact on skilled labor. So, I think there's a lot of reasons to be cautious as it relates to being aggressive in terms of deploying capital in this market and we probably are a bit more cautious than we would be in other points that may be showing some inflection.
Richard Anderson - Mizuho Securities USA LLC: And would you say that some amount of your kind of declining development or, say, elevated development risk management process is tied to that shorter-term economic perspective as well beyond the construction cost issue or maybe it's all just related to each other?
Timothy J. Naughton - AvalonBay Communities, Inc.: I think it's related. I think it's something that's been going on really for the last two to three years. I mean, we were much more willing probably through about 2015 to consider taking land inventory on the balance sheet that we felt we could get in production over the next year. Today I'd say we're not that willing, and we're pretty surgical about it. We had one deal in LA that we're willing to do that with because we felt like maybe that market had a little bit more legs than maybe some of our other regions and fundamentally, we don't think land markets have adjusted yet. So, yeah.
Richard Anderson - Mizuho Securities USA LLC: Okay. Good enough. Thank you.
Timothy J. Naughton - AvalonBay Communities, Inc.: Sure. Very good.
Operator: Our next question comes from Tayo Okusanya.
Omotayo Tejumade Okusanya - Jefferies LLC: Yes. Good afternoon. I hope you haven't addressed this yet, but I got onto the call late. Have you talked at all about just views on Costa-Hawkins, and kind of progress being made in regards to that in California?
Sean J. Breslin - AvalonBay Communities, Inc.: Tayo, we haven't talked about it on the call. I mean, do you have specific questions around it in terms of...
Omotayo Tejumade Okusanya - Jefferies LLC: Yeah. Just kind of how you're thinking about some of the momentum behind it, about possibly being on the ballot in November, and kind of what are you hearing locally from lobbyists about that, and what that potential implications could be?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah. I'm happy to address that. People have been asking about that through other means as well, but particularly around the likelihood of it passing and things of that sort. But, I mean, trying to give you a specific probability about it passing would be pure speculation on my part and anyone else I think that would be doing out there. In fact, there are polls out there that offer a wide range of answers. What I'd say is, based on what we know, that if you simply ask voters in the State of California if they would support rent controls as it relates to controlling housing costs in the state more than a majority would likely say yes. Based on what we know to the extent that you educate voters about what a repeal of Costa-Hawkins specifically means, the outcome could be quite different. There is a number of issues associated with Costa-Hawkins that voters have been educated about, including the impact on homeowners which represents about 60% of likely voters and putting single-family homes at risk regarding rent restrictions and potential reductions in the value of their home if the kind of single-family rental market and those buyers, the investor buyer starts to go away because of concern about rent restrictions as an example. The fiscal impacts, the non-partisan LAO issued a report recently talking that a repeal could be detrimental to local government funding, particularly in terms of lost revenue from property taxes associated with single-family and cost of administration and all kinds of other things like that. Other issues that are out there relate to the conversion of rentals to for-sale product, which happened in San Francisco after the adoption of rent control, and there is a number of studies out there related to that topic. So, there's a lot of different issues that people need to understand as it relates to what Costa-Hawkins means, what protections exist today that would potentially go away with a repeal. So, what I'd say is the messages are being delivered to voters and probably will be much more so over the next few months here in terms of what the repeal means. And those are the issues that will ultimately drive potential outcome when we get to election day.
Omotayo Tejumade Okusanya - Jefferies LLC: Got you. All right. But, again, if it does happen, have you guys done any kind of analysis around what kind of impact it could potentially have on your portfolio?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah, I mean, it's very much speculative in terms of what local jurisdictions will do. All we know is based on what's in place today for us, one asset would be impacted by rent control that currently isn't today. Other than that, it's trying to handicap every jurisdiction and which way they're going to vote in terms of putting a rent control measure on the ballot. Is that done through some kind of voter referendum or other means? So, that's all purely speculation. It's really hard to comment or quantify at this point.
Omotayo Tejumade Okusanya - Jefferies LLC: Got that. Okay. Thank you.
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah.
Operator: And your final question comes from John Pawlowski.
John Richard Pawlowski - Green Street Advisors LLC: Thanks. Sean, I apologize if I missed some of these components. Could you just quickly run through 2Q new and renewal growth rates as well as early 3Q new renewal and occupancy?
Sean J. Breslin - AvalonBay Communities, Inc.: Yeah, John. Why don't I give you the Q2 numbers at the regional level, a lot of the other stuff, that's a fair amount of detail, so why don't I have Jason follow-up with you on that. I mean the Q2 blended rates were included in the supplemental as you may know by market and a royalty, you can see that. But as it relates to the difference between move-in, renewal and blended for the quarter, I could say New England move-in – when I do move-ins it...
John Richard Pawlowski - Green Street Advisors LLC: Total portfolio would be fine. Total portfolio.
Sean J. Breslin - AvalonBay Communities, Inc.: So, total portfolio for Q2 is included in the supplemental which is 2.8% blended, 3.9% on renewals, and 1.4% on move-ins if that's what you're looking for specifically. And then July, I mentioned 3.25% blended which is roughly 4% on renewals and about 2.5% on move-ins.
John Richard Pawlowski - Green Street Advisors LLC: And occupancy today?
Sean J. Breslin - AvalonBay Communities, Inc.: Occupancy today is sort of running in the low 96% range.
John Richard Pawlowski - Green Street Advisors LLC: All right. Thanks a lot.
Sean J. Breslin - AvalonBay Communities, Inc.: Yes.
Operator: I would like to turn the call back over to Tim Naughton.
Timothy J. Naughton - AvalonBay Communities, Inc.: Thank you, Travis, and thank all of you for being on the call today. I hope you all enjoy the rest of your summer, and we'll see you some time in the fall. Take care.
Operator: Thank you.